Operator: Good afternoon and thank you for waiting. We would like to welcome everyone to Ambev's Second Quarter 2025 Results Conference Call. Today with us, we have Mr. Carlos Lisboa, Ambev's CEO; and Mr. Guilherme Fleury, CFO and Investor Relations Officer. As a reminder, this conference presentation is available for download on our website, ri.ambev.com.br as well as through the webcast link. We would like to inform you that this event is being recorded. [Operator Instructions] Before proceeding, let me mention that forward- looking statements are being made under the safe harbor of the Securities Litigation Reform Act of 1996. Forward-looking statements are based on the beliefs and assumptions of Ambev's management and on information currently available to the company. They involve risks, uncertainties and assumptions because they relate to future events and therefore, depend on circumstances that may or may not occur in the future. Investors should understand that general economic conditions, industry conditions and other operating factors could also affect the future results of Ambev and could cause results to differ materially from those expressed in such forward-looking statements. I would also like to remind everyone that, as usual, the percentage changes that will be discussed during today's call are both organic and normalized in nature. And unless otherwise stated, percentage changes refer to comparisons with second quarter 2024 results. Normalized figures refer to performance measures before exceptional items, which are either income or expenses that do not occur regularly as part of Ambev's normal activities. As normalized figures are non-GAAP measures, the company discloses the consolidated profit, EPS, operating profit and EBITDA on a fully reported basis in the earnings release. Now I will turn the conference over to Mr. Carlos Lisboa. Mr. Lisboa, you may begin your conference.
Carlos Eduardo Klutzenschell Lisboa: Good afternoon, everyone. Thank you for joining our second quarter 2025 earnings call. It is a pleasure to be here with you today. On our last call, I highlighted that Q2 would be a decisive moment, almost like a transition quarter as we prepare our business to continue to deliver another year of growth with value creation. And I'm glad that our brands demonstrated their strength and supported the results we achieved this quarter, positioning us well for the remainder of the year, given the anticipated acceleration in costs. As leaders in our category, I am confident that we made the right decisions for our business, executing with discipline our growth strategy with special focus on revenue and cost management. This drove a high single-digit organic EBITDA increase with 110 basis points of margin expansion despite soft industry volumes in several markets, mostly due to adverse weather conditions. But rather than focus on only one single quarter, like in soccer, half time is a good moment to step back and assess our year-to-date performance. Therefore, important to highlight that our brands continue to improve equity. Top line grew mid-single digits. EBITDA grew double digits with 160 basis points of margin expansion. EPS grew 6.5% and cash flow from operating activities remained resilient, growing 4% despite our working capital dynamics. Also, given our year-to-date performance, the Board of Directors has approved another intermediary dividend payout of BRL 2 billion, totaling BRL 6 billion declared this year. The foundation for our performance is based on the execution of our growth strategy. Starting on Pillar 1, lead and grow the category. This quarter reinforced our confidence in the choices we made across our portfolio. Market share pressure linked to revenue management initiatives was softened by the strength of our brands built through a consistent execution and investments over the last years. And even in the face of softer industries, the underlying performance of our strategic priorities continue to deliver solid results. Our Premium and super Premium brands delivered low teens growth, expanding 7 out of top 10 markets of Ambev. The Balanced Choice portfolio maintained strong growth momentum, expanding in the low 20s, addressing evolving consumer preferences and needs. Activations on platforms like FIFA Club World Cup and Roland-Garros yielded positive results. Our brands stood out as the most recognized in these events, generating engagement and strengthening brand equity. As for Core segment, while brand equity remains stable, volumes declined given its high sensitivity to industry environment and to our revenue management decisions. As for Pillar 2, digitize and monetize the ecosystem. Bees Marketplace continued its momentum with GMV growing in the 90s and reaching an annualized amount of BRL 7.4 billion, led by partnerships such as Nestle and L'Oréal. On the direct-to-consumer front, Zé Delivery achieved a 7% increase in GMV despite a soft industry environment, supported by 11% rise in average order value. Additionally, our digital platforms are further strengthening our Core business through better services to customers and also consumers, benefits that may not always be visible externally. Over the years, our customers have been spending more time with us. In Brazil, for instance, we now engage for nearly 40 minutes per week through Bees and also in-person visits, fivefold of what we had pre-Bees. This deeper and more frequent engagement has allowed us to set missions to our business developers to focus on sell-out rather than sell-in. And as a consequence, we continue to evolve on number of brands and SKUs per POC, growing 3.4% this year only and to better manage price and promotions, driving efficiencies to our net revenue per hectoliter. As a result of a higher customization and a more data-driven approach, NPS of customers continue to improve, achieving all-time high levels, close to 70 points this quarter. As for D2C, today, e-commerce is the fastest-growing channel for Ambev and Zé is leading that growth. However, it is not just about growth, but about who is driving it. Gen Z LDA and millennials represent nearly 80% of Zé's buyers, well above their share in the population. Moreover, Zé has become a powerful engagement platform for the category lovers. According to our internal data, Zé consumers have a 47% higher frequency of beer consumption compared to the category average. Therefore, being close to them means being close to the trends, and that drives our portfolio forward. It is not a coincidence, but a consequence that both Premium and Balanced Choice brands have a higher mix on the platform. For example, in H1, 14% of Zé users added at least one product from our Balanced Choice portfolio in their baskets, which grew almost twice as fast on Zé compared to the total business and reached 3.6% of total platform sales. And on Pillar 3, optimize our business. Some of you have probably heard me saying this before, muscles have memory. Our disciplined focus on cost efficiency more than offset non-commodity cost inflation, representing a savings of over BRL 500 million in the quarter. In SG&A, we offset the impact of lower scale from volumes in distribution expenses. Overall, these efforts were essential to achieve an operational leverage of 2.2x in the quarter. Moving to the performance of our business units. Consistent with the first quarter, all BUs delivered EBITDA growth and four of them expanded margins as we continue implementing our growth strategy with discipline across our footprint. In this quarter, our diversified geographic footprint contributed in a meaningful way. Now let's look at the commercial highlights of our main markets. In Brazil Beer, our volumes declined by 9%, mostly driven by unfavorable weather with 65 colder days compared to last year. June represented over 60% of the quarter's volume impact with critical regions for the category facing 2 to 4 degrees Celsius lower temperature versus last year. Even so, brand equity improved again in this quarter, softening the market share impact from our revenue management decisions to a low single-digit decline. Our Premium and super Premium brands grew mid-teens, gaining market share in the segment. Above Core brands sustained almost 30% of our volumes and maintained our leadership in the segment. As for the Core segment, it declined by low teens given its higher sensitivity to industry performance and to our revenue management decisions. And lastly, in our Balanced Choice portfolio, Stella Pure Gold (sic) [ Stella Artois Pure Gold ] more than doubled its volumes. Michelob ULTRA grew by over 60% and non-alcoholic beers grew mid-teens. As a matter of fact, these brands represent around 2.5% of our volumes in H1, up from 1.4% last year. In Brazil net volumes were slightly positive in the quarter despite a mid- teens decline in June. Top line performance was driven by healthy net revenue per hectoliter as our brands showed resilience, gaining market share according to our estimates and the non-sugar portfolio growing above 30%. Moving to Argentina, volume performance presented another sequential improvement with beer volumes returning to growth after 7 quarters despite underperforming the industry as a result of our revenue management choices. The Premium segment grew double digits, while the health of our mega brands improved once again. Overall, we continue positive on the recovery of the category in the country. In the Dominican Republic, the consumption environment presented a sequential improvement. In this environment, beer gained share of draught as our main brands remain healthy with Presidente family gaining brand equity in the quarter. Lastly, in Canada, volumes grew 0.8%, more than offsetting a soft industry affected by colder temperatures. Our performance was mainly driven by: one, the Ontario industry that continues to grow given the route-to-market change that took place last year; two, the non-alcoholic beer industry that expanded by mid-teens with our brands outperforming by growing mid-20s and now representing almost 5% of our volumes. And lastly, the execution of our strategy and investments behind our brands, resulting in the fastest-growing beer brands in the country with share of draught and market share gains according to our estimates. All in all, we delivered the best EBITDA growth for the second quarter in years. Now let's move on to our financial performance. Fleury, over to you.
Guilherme Fleury de Figueiredo Ferraz Parolari: Thank you, Lisboa, and hello, everyone. Today, I'll cover 3 topics: first, cost and expenses management; second, net income performance; and third, cash flow generation. So let's get started. As Lisboa mentioned, quarter 2 was a transition quarter. We were expecting cost pressures, especially in Brazil, and we chose to act, protecting margins by controlling what we can. That meant disciplined resource allocation, proactive cost management and targeted SG&A initiatives. The execution of our strategy is already making a difference. Let me walk you through one example in cost of goods sold in Brazil. FX and commodities account for approximately 45% of our cash COGS. Most of that is hedged, which means the impact was largely locked in before the start of the year, but the remaining 55% is where we can act, and that's exactly what we've done. We've been focused on curbing cost escalation where we have control, rationalizing our operations. In 2025 alone, we've reduced the number of SKUs by around 10%, eliminating low churn items, therefore, increasing the productivity of our breweries and distribution centers. To put it simply, this SKU rationalization means fewer line changeovers at our breweries and better productivity, helping our cost performance in Brazil Beer to be within our guidance for the full year. Before we move on to net income, I would like to remind everyone that in Argentina, our results under IFRS, including EBITDA, were significantly affected by the Argentine peso devaluation of 12% in the quarter with the currency impacts of the year-to-date being carried out in the second quarter. Now moving on to net income and starting with net financial results. The increase in financial expenses continue to have the same drivers of the first quarter. One, FX carry costs in Brazil coming from the interest rate differential between Brazil and the U.S.; two, FX losses related to the dollar purchase in Bolivia; and three, a noncash impact linked to the appreciation of the BRL during the quarter from hard currency cash balances translation. And for income tax, our effective tax rate for the quarter was 18.4% compared to 28.6% in second quarter of 2024. The year-over-year decrease is mostly driven by: first, a nonrecurring event in the second quarter of '24 related to accrued withholding taxes over undistributed profits from Labatt coming from the depreciation of the BRL against the Canadian dollar during that period in accordance with IAS-12 accounting standards. Second, the effect of income tax exemption over part of our state VAT government grants following favorable court ruling obtained in the second half of last year; and lastly, a favorable country mix of earnings this quarter. On a year-to-date basis, our effective tax rate remains at the same level as prior year. In the quarter, the resilient operational performance and disciplined financial management led to a net income of BRL 2.8 billion, a 15% improvement versus last year. Last topic, cash flow generation. In our halftime review, cash flow from operating activities grew 4%, led by the EBITDA growth. In the quarter, our cash flow from operating activities reached BRL 3 billion, the 9.2% decline versus last year reflects the volume dynamic in the quarter with lower sales tax payables, partially offset by better receivables and inventories. Cash flow from investing activities was BRL 1 billion negative, driven mainly by CapEx investments during the quarter, similar to the investment of last year. And cash flow from financing activities reached BRL 4 billion negative, primarily due to the payment of intermediary dividends in April, the repurchase of shares according to our buyback program and Bolivia fees to purchase dollars that, as I mentioned, impacted the financial results. Before I hand it back to Lisboa, I would like to reinforce the message that we remain focused on delivering sustainable value creation to our shareholders through a diligent execution of our capital allocation priorities. Thank you for your time today, and back to you, Lisboa.
Carlos Eduardo Klutzenschell Lisboa: Thank you, Fleury. Before we conclude, I would like to offer a few closing thoughts. As I noted earlier, reaching the half time gives us an opportunity to assess how we are performing against the mission I set forth when I first came on board. Firstly, avoid disruption, on track. And in fact, the most recent results of our employee engagement survey show improvement across all functions, reinforcing the belief in our future. Secondly, keep momentum, on track. So far in the year, we have achieved better brand equity, top and bottom line growth and also EBITDA margin expansion. Lastly, build a stronger version of our company, on track. I believe that momentum invites more momentum. Our performance in the first half positions us well to second half. Our road map to success shall be paved based on a consistent performance of our business. And before finishing, I want to take a moment to recognize our team who made again a huge difference in our quarter performance, over delivering on everything we have under our control. Thank you very much. And now let's go to the second half when our brands will continue to be part of cultural moments, assuring presence not only on the tables, but also in the hearts of our consumers. Thank you for your attention. And now I will hand it back to the operator for the Q&A.
Operator: [Operator Instructions] Our first question comes from Isabella Simonato with Bank of America.
Isabella Simonato: I have two questions sort of related. First of all, regarding the top line and the volume performance, right, in Brazil. I understand the reasons you mentioned to drive this weakness, but it seems a much steeper change year-on-year versus events that we've seen in the past, right? If I'm not mistaken, this is the largest year-on-year volume contraction we've seen with the exception of what happened during the pandemic. So even with a bad weather or you guys' leading price increases that were not necessarily followed by competition. What is your read on the size of the decline? And in that sense, what makes you confident in the second half and ABI also mentioned that the second half of the year will show a significant recovery or will show an improvement. I think that's what we wanted to better understand. And the second point, you've guys showed, I think, a much better-than-expected margin performance despite this more limited dilution, right? And you guys mentioned some of the initiatives. But I wonder if you could elaborate a little bit more on those things you can control, right? If the bulk of what you plan to do is done in this quarter or if you guys, see more room to continue to cut costs and have a more efficient portfolio. I mean, I think we wanted to get a better sense of what we can expect going forward in terms of initiatives and where we are in this pipeline.
Carlos Eduardo Klutzenschell Lisboa: Hello, everyone. Thanks again for joining the call. Isabella, nice to talk to you. Super clear your question, and I fully understand the point. So I'm going to answer the first and hand over to Fleury for the second one, okay? So I think it's important to step back a little bit and first and foremost, understand what happened with the industry in second quarter, okay? We estimate a mid-single-digit sellout industry decline, which is pretty much in line with news estimations, right? And this was pretty much driven, as I mentioned during the intro, as very adverse weather during this period, okay? So I think the first message from my side is there is no structural change in consumer demand in Brazil, 70% of the industry decline based on our industry models is explained by the weather. And the reason why is the following: we faced 65 colder days versus last year with a high concentration in 1 month. June was a big outlier, Isabella, with a double-digit decline, mid-teens decline just in this month, impacting important regions for the industry, which represents 60% of the industry volume. This region saw a temperature variation, right, of 2 to 4 lower, right, degrees Celsius, which has a very important impact when you assume the correlation of temperature into volumes in this month. As a matter of comparison, it's good to have the two business in our hands, right, the alcoholic and non-alcoholic business. In our CSD business, despite slightly growing volumes in the quarter, and by the way, we were growing in a very healthy way in April and May. In June, we also suffered the same level of impact due to the adverse weather that I mentioned before, right? Additionally, the remainder, 30% of the industry impact comes mostly from inflation, especially impacting essential goods, which came -- inflation came above CPI, and continues to put some sort of pressure in disposable income for Brazilian consumers. It's also important to consider another aspect from an industry selling standpoint performance, the performance was also impacted by two less business days in the period, right? Now moving to our sell-in performance, right? First and foremost, as I mentioned before, 3/4 of the volume impact was driven by industry, pretty much explained by the weather, right? Additionally, the 1/4 of the volume performance is explained mainly by a wider consumer price relativity caused by something that we anticipated to you during our first call announcement, our revenue management decisions. And this resulted in a low single-digit market share loss according to our estimates and also in line with Nielsen sell-out data, right? Regarding the share performance, brand equity continues to improve, softening the market share impact when we compare to our historical market share models. Second point, Premium grew mid-teens and gained share again in the segment. The Core decline came pretty much in line with low teens due to segment high sensitivity to the adverse weather conditions. And also, it's important to mention the Core side of the segment relies more in out-of-home consumption occasions, which were more impacted by adverse weather, right? And these brands are also more sensitive to revenue management decisions and greater price elasticity, okay? And it's important to reinforce as well that our market share over-index in the Core performance vis-a-vis the overall performance of our business. All in all, looking ahead, without going into details about our quarter 3 performance, what I can say is the following. July doesn't look at all to June in terms of weather conditions, which means that we do see a significant improvement throughout the month, right, despite the fact that the beginning of the month was also impacted by residual adverse weather. And the second comment that I have is the following. We are also observing initial readings on consumer price relativity starting to ease, improving along the month. okay? Beyond July, we remain confident. No fundamentals of the beer industry impacted in the quarter, and we continue to see clear opportunities for us in terms of per capita in the future. And also super important to emphasize that we feel today our company stronger, right, as a whole, better prepared for the year to come than we were in the beginning of the year since our growth algorithm is prepared, right set for the acceleration of costs that we already observed impacting the second quarter.
Guilherme Fleury de Figueiredo Ferraz Parolari: And, if I may -- Isabella, Fleury, here. Let me just start by saying that our approach remains very focused when you think about cost. We want to optimize where we control. And important to remember that while preserving the commercial levers, as Lisboa mentioned, to drive top line and brand equity. Over the years, we know that cost of goods sold was a main source of margin pressure, mainly coming from FX and commodities. And today, I gave you an example of SKU optimization, but there are others. We are very focused also on looking into how to improve distribution expenses, which did -- which impacted positively the quarter while always looking to optimizing our footprint. And just to remember, we were very known for our zero budget-based budget, and that's something that we'll continue to exercise throughout the year. And I'd like to say to finalize that the team is very engaged with that.
Operator: Our next question comes from Renata Cabral with Citi.
Renata Fonseca Cabral Sturani: And my question is a follow-up in terms of costs that you just mentioned. Of course, we have the guidance for 2025 in terms of cash COGS. And first half of the year had a lot of volatility in terms of FX, but we have some horizon for what can happen for 2026. My question is if you can give us some color on what you see and what you've been done in terms of hedging, specifically for raw material costs?
Guilherme Fleury de Figueiredo Ferraz Parolari: Renata, Fleury, here. So two things with you. We are maintaining our hedging strategy the same as the prior year. So it's a hedging strategy that you look 12 months forward, and it's not speculative. The idea of the hedging for us is to protect the business, #1. #2 is that we are very confident about the cash COGS per hectoliter guidance that we have given to the market, which is Brazil Beer, excluding non-Ambev market place to be within the range of 5.5% and 8.5%. And even though we look that it's still being at the lower part of that guidance for now, this is something that we work towards the year, but I cannot give you any guidance on that topic now.
Operator: Our next question comes from Leonardo Alencar with XP.
Leonardo Alencar: I want to dive a little deeper on discussion on pricing. I know it's a sensitive issue. But if you could discuss the dynamics between off- trade and on-trade, talking about this economic situation, which is not really favorable, but then with this weather -- adverse weather by the end of the quarter and maybe not so bad, but still a challenge in the beginning of the third quarter. So what can we expect between these channels between on and off-trade? And if you could even give a little more detail, more color on pricing between categories. I understand that you've been pushing Premium and Super Premium and you've been gaining market share on that sector. And despite losing volume this quarter, you managed to increase net revenue per hectoliter. So -- but then maybe less than expected. So just to understand where we should expect the biggest price increase within categories. That's the two main points I want to understand further.
Carlos Eduardo Klutzenschell Lisboa: Leonardo, thank you for the question. It's a very sensitive topic, as you said. So let me elaborate here in order to answer your point. Our revenue management agenda has started in March just after the Carnival, as I mentioned earlier, was built throughout the quarter, right? So we increased prices pretty much in all segments, which helped us to achieve the quarter 2 net revenue per hectoliter performance that you saw in Brazil. And it's always good to emphasize that within the net revenue per hectoliter, the rate is pretty much in line with inflation, right? And we are capturing the premiumization benefits on top of that, right? As for the Core volumes, as I mentioned before, volumes declined due to the industry, right? So pretty much we saw the vast majority of the impact impacting these brands because they are more sensitive to pricing performance, pricing differences and also to something that you mentioned in terms of channels, right? The only main difference that we observed within the quarter was related to the on-premises side of the industry because this channel was more impacted by the adverse weather conditions. Despite that, we brought, as I mentioned before, a positive -- a net positive effect from the mix on top of the rate initiatives that took place, right? Looking ahead, net revenue per hectoliter will remain a key lever to support our ambition to continue expanding margins in Brazil, right? And we will always balance the long-term pricing aligned with CPI while managing the short-term cost inflation, protecting profitability. And for sure, we will always have an eye on our portfolio performance of our brands because in the end, everything must work together, right? We must find a perfect balance to make our business reach the ambitions we have for the year.
Operator: Our next question comes from Felipe Ucros with Scotiabank.
Felipe Ucros Nunez: A couple of questions on digital and loss. So the first one on digital, the marketplaces GMV accelerated quite a bit this quarter. So congrats on that. Just wondering if you can give us some details on what drove this. You mentioned the new brands that you've been signing on the platform, but perhaps a little more from the strategy perspective. You're coming off of a few quarters of consolidating the cost and expense structure of the digital platform. So just wondering if you started pushing harder on the expansion again or maybe it's just other factors like the timing of signing new agreements. And then on loss, I was a bit surprised about the net revenue per hectoliter in the region. I imagine this was mostly driven by Argentina based on the comments in the release. But wondering if you can talk to us a little bit about the drivers here, particularly given the environment where the inflation is pretty high. We've already seen a few beverage companies report in Argentina, they have very good performances. But it seems like everyone in the industry is taking the foot off the accelerator on price mix. So just wondering if you can give us some comments on what's happening there.
Carlos Eduardo Klutzenschell Lisboa: Felipe, thank you for your question. So -- and you are right. One of the aspects that we make us feel very positive about our year performance is the good balance between the three pillars of our growth strategy, being the pillar #2 very important highlight for the period, right? And within the pillar #2, marketplace continues to create a pretty interesting revenue stream for Ambev with minimal investments, but with very interesting performance year-to-date and showing even more potential in the future, right? And we do see a pretty interesting correlation as well with the level -- our service level to our customers, they continue to rise the NPS in a quarter-by- quarter view. In terms of marketplace, we grew 90% in the quarter with Brazil growing 100%, right? With Q2 and year-to-date, it's very interesting at this point, the 3P part of the marketplace surpassing the 1P in terms of GMV. The growth was led primarily, as I mentioned before, by partnerships we have within the 3P, like Nestle, L'Oréal and PepsiCo Foods, right? Very interesting to highlight that 80% of our Brazil customers base bought in the marketplace in Q2, up double digits from last year. Also very interesting to highlight that we are increasing the number of SKUs per POC. And on a first half standpoint, this achieved a level of 30% year-over-year, right? First half, Ambev marketplace is improving in terms of margin as well to something that you also mentioned improving by 400 basis points to 15%. And in Brazil, this improvement was even higher to 600 basis points, reaching 17%, right? So -- and the point that I made in my intro, this is also allowing us to better understand our customers now with even more touch points, having an even more broader assortment, giving us a lot of data insights, enabling us to better attend their needs.
Guilherme Fleury de Figueiredo Ferraz Parolari: And thank you, Felipe. Talking a little bit about -- Lisboa just mentioned about the marketplace gross margin, so let me tackle like Argentina and how we're seeing it. We continue to see a sequential improvement in the market overall. Even though it's dynamic, we see like the consumer confidence is gradually improving, and that is what is reflected in our results. In Argentina, since the past beginning of hyperinflation, we've been very careful on protecting our margins by also looking into cost and looking into the capacity of the consumers to absorb price increases. And that's what we continue to do in that market.
Operator: Our next question comes from Nadine Sarwat with Bernstein. I believe she dropped the queue. So I'm going to move on to the next person in line, which is Lucas Ferreira with JPMorgan.
Lucas Ferreira: My question is on the low EBITDA lines, specifically those lines, Fleury, you mentioned about the non-derivatives. How to think about those lines because they have been relatively meaningful in the last few quarters, like you mentioned, you explained the reason for that. My question is how to think about those lines in the next, say, 12 months? Are you guys -- will you guys continue to push money out of some of these countries you mentioned and have impact in these operations, or this line should go, I don't know, nearly 0 at some point. But just in general terms, how to think about your financial expenses line and this recent volatility in the next few quarters.
Guilherme Fleury de Figueiredo Ferraz Parolari: Thank you, Lucas, Fleury here. So you know that's difficult for us to give any projection on how we think about the future. The way I think about that is probably thinking about what -- how Bolivia could probably on the macro side perform in the coming months. And we don't have any reason to believe that will be different from the past. So we always have on our side, we need to be careful on repatriate, if I may call, cash from other markets, that will not be changed. So in overall, I think there will be no material change on these lines from what I foresee from now. But that is as much as I can tell you, and I've been careful here not to give you any forecast on things that I shouldn't.
Operator: Our next question comes from Henrique Brustolin with Bradesco.
Henrique R. Brustolin: I would like to connect the point on this being a transition period and the first half of the year having been very volatile with the goal of sustaining flat year-on-year margins that you have been mentioning throughout the first half. So if you could make a balance on where you are right now relative to the beginning of the year, if it gives greater comfort on achieving that target. And I know the sort of the goal is -- for Ambev on a consolidated level, but any comments relating to Brazil Beer as well, specifically on the potential to sustain margins and pricing where you're positioned right now, if -- how confident you are in being able to sustain that? And a quick follow-up on the pricing in Brazil Beer. Was there anything relevant when it comes to price relativity when you look at the Premium segment to the mainstream segment that could explain part of the underperformance in the mainstream? Those are the two questions.
Carlos Eduardo Klutzenschell Lisboa: Henrique, thank you for your question. Let me see how I can address your point, okay? But I think the most important aspect to highlight about where we stand today is the following, okay? And I'm going to use the three pillars of our growth strategy to explain, right? First and foremost, brands. I mentioned as part of my intro, we see our brands stronger today, right? I think we have very different from my moment in Brazil many years ago, a way more complete portfolio and not only composed by strong local domestic brands in the Core, but also very powerful brands above Core, right? And this give us way more optionality to work with, right? So pay attention to the following. When we migrated from '24 into '25, we had 0 pricing carryover. And as you know, we already implemented a good part of our plan for this year, especially in the second quarter of '25. So now this put us in a very different type of position looking forward, right? Second point, digitalization of the business, the digital ecosystem is always -- I always emphasize this point, the beauty is when you connect the three pillars, right? And the second pillar is a very important bridge between the first and the third because provide us a way better push about customers and consumers. And it's also creating on top of that, on top of the benefits brings to the Core side of the business, also new revenue streams. So it's a very powerful part of our growth strategy, and it is evolving in a very consistent fashion, as I just mentioned and explained. And the pillar #3, right, how you make the one, two together with the ambition to put the other muscles of the organization to work at the same pace in order to evolve with our business to create growth with value simultaneously, right? So -- and you heard me saying that during the first quarter announcement that we put for ourselves a big ambition to be way more productive than we used to be before in order to make this year another year of margin expansion despite the fact that we're going to have not a tailwind, but a headwind in the cost side, right? So that's the reason why, in my point of view, we feel more confident about the year to come. And regarding your second question, pricing, what is the major difference between Core and Premium? It's pretty much the fact that Core relies way more on the side of the industry that was more affected by the weather, the adverse weather. And we know that these brands above Core, they have also -- they have more resilience to support the differences, right? And we know that moving forward, we already see those differences easing, which is a good indication that we're going to have in the second half, a pretty different reality than we faced in the second quarter.
Operator: Our next question comes from Thiago Duarte with BTG.
Thiago Callegari L. Duarte: Lisboa, Fleury, nice touch base. Yes, I think I have to circle back and a follow-up on this Brazil Beer pricing discussion. A couple of things here. #1, how much of the revenue per hectoliter gain was through mix, considering the outperformance of Premium relative to the Core segment? This would be the first point. And the second on pricing, is the revenue management initiatives in Q2, they defer in terms of timing in the year, a lot from what we have been seeing historically, Ambev typically adjust prices in the second half of the year ahead of the summer. So given how much pricing you had already implemented, how should we think about revenue management in the second half of this year, particularly ahead of the summer? So that would be the second part of this question. And if I may, on a more fundamental question, we started the year talking about revamping the Core, investing behind the brands that have somehow been underinvested. And that's all against the backdrop of a portfolio that has expanded significantly through innovation and new offerings in the last few years. Lisboa just talked about this, right? And when we look at the quarter and even the year-to-date picture, we have brands like Corona, Stella Artois Pure Gold, all doing relatively well, and they are all relatively new to the portfolio. And on the other side, we have brands -- Core brands losing share. Fleury shared this 10% SKU reduction in the portfolio. So it seems different from -- both in terms of the implementation and in terms of the results from what we were discussing in the beginning of the year. So if you could elaborate how we should think about these variables going forward and the priorities for the business?
Carlos Eduardo Klutzenschell Lisboa: Thiago, thanks for the question. And again, this is a very sensitive topic. So let me elaborate here in a way that makes sense. Agenda, okay? It's not necessarily fair to say, correct to say that we always increase prices in a specific moment in the year, right? That will -- this will always depend on market dynamics. This is the first point. The second point is the following. We started, as I mentioned during the first quarter announcement just after the Carnival, and this was built during the quarter, right? The rate impact was pretty much in line with inflation, which means that the difference is coming from a positive mix effect, right? And it's interesting as well that within mix, we had a negative impact from channel mix and some regional mix and a very positive impact from brands mix, right? And this brought the positive net impact, right? Moving forward, we will always maintain our long- term goal as a north for us to keep prices in line with inflation, which is pretty much what we have done, and we did within the quarter 2. Prices are not above inflation because everything that we mentioned before about consumers under pressure on disposable income, and we know that a part of the population is very sensitive to price increases. But on the other hand, we will always take in consideration the inflation impacting us on the cost end. And this will drive our decisions, right? This is the further I can go with this topic, right? On the other side, nothing changed about the Core. We are here to build the category. We are here to make our category even stronger, more appealing to our consumers in the future, right? And we do know that having a Core segment healthy is a very important driver to have a healthy category as well. And we also know that a healthy Core help us to drive more per capita increase in the future. So in other words, Core will remain being a cornerstone of the category, a priority for us. However, we cannot move on with our plans without making decisions, right? So when you analyze just 1 quarter, maybe is a little bit unfair, vis-a-vis what we have in terms of expectations and plans for the future -- for the year, entire year. So we know that this part of the portfolio was more impacted within the quarter. But again, the majority of the impact came from a non-structural side, which was related to weather. The pricing side was one of the smallest impacts that we had, right? So -- and again, it's part of our strategy moving forward, always to take decisions again, having in mind what happened in quarter 2. And as a consequence, you can imagine that we will move forward the way that is necessary to protect the balance between the Core segment and the above Core segment, right? And this part of the category is showing way more resilience, which means, again, in the end, optionality for us.
Guilherme Fleury de Figueiredo Ferraz Parolari: And Thiago, Fleury here. Just two things on my side to contribute here. One is everything that Lisboa mentioned was something that we have planned since the beginning of the year, looking into how we knew cost would probably perform, #1. #2, I think when I mentioned about the 10% rationalization SKUs, you need to take into consideration the size of our portfolio, the number of brands, so on and so forth. So we are working into formats and SKUs that were low moving and/or would have a lower contribution to our portfolio, which does not create or should not create any confusion to what was explained before about our strategy with brand and portfolio.
Operator: Our next question comes from Rodrigo Alcantara.
Rodrigo Alcantara: It would be for Lisboa, if I may. I would say that for the sake of clarification here and to understand your mindset, Lisboa, well, we saw the price action, right? We saw the price elasticity effect and the share outcome, right? So just curious to -- I want to understand what are the topic points, the facts that make you said that brand equity across brands have improved or improve. I get your point that it's not referred to just judge just 1 quarter. So maybe you were talking about a first half result. So wanted to understand the points that make you said of having a brand equity across brands improving. And the other one very quickly would be just to get an update on the revamp strategy on Skol. I know that we don't necessarily share the specific details about this plan, but just wanted to know like kind of what is the progress on this and how you see the brand ahead of the second half of this year.
Carlos Eduardo Klutzenschell Lisboa: Perfect. Rodrigo, let me answer your question -- the two questions, okay? The first one about equity improvement. Why? What is the big reason to believe our brands are improving. First and foremost, we track every single month, we track what we call brand power. And this brand power is based on three different components, how different a brand is, how salient a brand is and how meaningful a brand is to our consumers. The combination of the three components brings to life what we call power. And we do see power improvement in a pretty important part of our portfolio, which give us even more confidence about the future because power is a very good proxy for share, okay? The second point is the following. When we compare what happened with the consumer price dynamics in quarter 2. In other words the price relativity gap we had, we faced, the level of impact we had in share was lower than we historically used to see in our portfolio, which also reinforces the point that the power is bringing more strength to our portfolio, right? And regarding your question about Skol, I think this is a very interesting aspect that we didn't discuss. So thanks for bringing the point. I don't want to highlight here any huge revolution in terms of performance for the brand. But we have been, as I mentioned in a few times with you all, we have been working in order to adjust, correct a few aspects about our plans for the portfolio, especially for Skol, and we have been observing interesting improvements, right? One of them is about placement, right? Distribution suffered during '24. And now we are bringing back since the beginning of second quarter distributions to a way healthier level for the brand, and we know that availability is critical if we want to put the brand back in a growth trajectory. The second aspect is not only being present, but being well executed. We also improved the level of support we have for the brand at a POC level. And we do see that level of support bringing a better turn for the brand, which means share of handlers for Skol within the pots. And last but not least, when we compare from the beginning of the year, today, we see a sort of a V curve. And why a V curve? Because in the middle of this period, we had Carnival, right? And Skol was not a priority for us in terms of brand activation for this period. So the brand still suffered a decline. And since then, we see a recovery, a very consistent recovery in share month after month. Again, too early. I'm not claiming here, we solve it, right? But this is the type of indication that we need to give us confidence that we are touching the right button to put the brand back on a growth trajectory.
Operator: This concludes the Q&A session. I would like to invite Mr. Carlos Lisboa to proceed with his closing remarks. Please go ahead, sir.
Carlos Eduardo Klutzenschell Lisboa: Thank you for joining our call today. We feel encouraged by our first half of the year. We -- as I mentioned before, we progressed in all three pillars of our growth strategy. We have a stronger portfolio of brands. Our digital platforms are gaining traction, and we delivered margin expansion through revenue and cost management. I feel that we are a stronger company today than we were 6 months ago, positioning us well better for the second half of the game. Looking forward, while our operating environment remains dynamic, the quarter we just went through give us reasons to believe we are on the right track to continue pursuing another year of growth with value creation for Ambev. Thank you very much again. See you -- hope to see you soon.
Operator: This concludes today's presentation. You may disconnect and have a nice day.